Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the MetroPCS Communications Second Quarter 2012 Conference Call. [Operator Instructions] This conference call is being recorded today, July 26, 2012. I would now like to turn the conference over to Mr. Keith Terreri, Vice President and Treasurer for MetroPCS. Please go ahead, sir.
Keith D. Terreri: Thank you, Yvonne, and good morning, everyone. Welcome to our second quarter 2012 conference call. The speakers with me this morning are Roger Linquist, our Chairman and Chief Executive Officer; Tom Keys, our President and Chief Operating Officer; and Braxton Carter, our Vice Chairman and Chief Financial Officer. During today's call, we will refer to certain non-GAAP financial measures. We have reconciled these historical non-GAAP measures to GAAP measures in our second quarter earnings release, which has been filed as an 8-K with the SEC and is also available within the Investor Relations section of our website. Before I turn call over Roger, I want to remind you that information presented on this call may contain forward-looking statements about our plans, objectives, beliefs, opinions, expectations, strategies, goals, financial expectations, future capital expenditures, performance, financing needs, competition, planned future events and financial results or other statements which are not of historical fact. Words such as believes, anticipates, expects, intends, plans, should, could, would, view, estimates, projects, will and other similar expressions typically identify forward-looking statements. These statements are subject to risks, assumptions and uncertainties, many of which are beyond our control and that may not occur, or could cause actual results or the timing of events to materially differ from those made in the forward-looking statements. The risk factors that may affect the forward-looking statements in our future operational and financial results are set forth in the Safe Harbor statement available in the company slide's deck to this oral presentation and in the section entitled Risk Factors found in our Annual Report on Form 10-K; quarterly reports on Form 10-Q, including our 10-Q for the period ended June 30, 2012, which was filed earlier this morning; and our current reports on Form 8-K. Copies of any of these filings may be obtained free of charge from the SEC at www.sec.gov or from our website, or directly from contacting our Investor Relations department. For anyone listening to a taped or webcast replay or doing a written transcript of today's call, please note that all information presented is current and should be considered valid only as of July 26, 2012, regardless of the date reviewed, read or replayed. And at this time, I'd like to turn the call over to our Chairman and Chief Executive Officer, Roger Linquist.
Roger D. Linquist: Thank you, Keith. The exciting transition towards 4G LTE is close at hand. As we stated on our first quarter call, during the second and third quarters, we would focus on operating margins and enhancing cash flows over subscriber growth. With this focus, I am pleased to report both the highest quarterly adjusted EBITDA and EBITDA margins in company history. A revolution began at MetroPCS in 2010 with the proliferation of smartphones. Now only 2.5 years later, the revolution continues as 4G LTE is about to transform the wireless experience for the no-contract segment. At the end of the third quarter, affordable 4G LTE handsets will be available and we'll be very near completion of our 4G LTE network build-out with over 97% of all our POPs covered. With these 2 elements of our next generation business complete, we can rapidly accelerate our 4G LTE For All initiatives. We have been the best deal in town in the voice-centric world, and we are aiming to be the best deal in town in this evolving data-centric world, taxes and regulatory fees included, of course. With our leading position in 4G LTE, we have an advanced network, fully operational, that is more advanced than many others in the wireless industry. Worldwide production, driving the experience curve, is rapidly moving 4G LTE standardization in chipsets and handsets design that will lead to lower unit cost in the future. This should drive lower cost to reduce handsets subsidies and help manage CPGA costs in future years. Furthermore, we are taking steps in the network to ensure that we can support our business growth with our current spectrum holdings. However, we continue to look at spectrum acquisition opportunities for the most cost-effective approach to meet our capacity requirements. By the end of the year, most of our markets will be 4G LTE ready with a 5x5 megahertz channel bandwidth. We are also an industry leader in deployment of VoLTE cable handsets, since VoLTE service is foundational in our ability to refarm CDMA spectrum for LTE service. During the third quarter, we plan on introducing the first VoLTE-enabled handset. We plan to introduce additional VoLTE handsets this year to further capitalize on the benefits of this technology and prepare for refarming spectrum. We also are focused on developing and deploying rich communication services, or RCS, this year, which supports simultaneous voice communication with media -- multimedia messaging as well as other advanced data services. RCS will further differentiate premium 4G LTE services from competitors' 3G data services. Once launched, for the first time, MetroPCS customers with RCS will have a feature set available to them that has previously only been available to postpaid subscribers. We will offer this to our subscribers at an unmatched value. Consequently, RCS enables us to significantly distance ourselves from MVNOs and other service providers, which do not offer such services. Our objectives are clear. We will capitalize on our 4G LTE For All initiative when it is ready, and move towards VoLTE later in 2012 and 2013. With our move towards VoLTE, we've been able to migrate customers off our CDMA network and on to our more efficient 4G LTE network. This migration, combined with other initiatives such as microwave backhaul, will provide us with capacity needed for plan subscriber growth. With affordable 4G LTE smartphones and an advanced 4G LTE network, we believe we'll be well positioned to drive revenue growth and earnings performance in the future. Now I'll turn the call over to Tom.
Thomas C. Keys: Thank you, Roger. Good morning, everyone. I want to focus my comments today on our need to transition the business to 4G LTE services, our second quarter results as well as provide an update on our 4G LTE For All initiatives, our transition from 3G to 4G LTE. The industry continues to be challenging and competitive. With that being said, the global movement towards 4G LTE is clear and it's happening now. The handset ecosystem for 4G LTE continues to develop and during this transition, the best way for MetroPCS to manage the business is to balance growth, retention, ARPU, brand expansion and EBITDA. We believe the company needs to grow its subscriber base over the long term. By focusing on our 4G LTE services, we will be able to differentiate our product offerings and return the company to its legacy of subscriber growth. While in this current transition period, we are managing the business to generate adjusted EBITDA while preparing for the launch of 4G LTE For All later in the third quarter. Throughout the quarter, we focused on generating EBITDA versus subscriber growth. With lower handset subsidies and moderated marketing spend throughout the second quarter, both upgrades and gross additions declined on a year-over-year and on a sequential basis. In the second quarter, gross additions totaled 781,000, down 38% year-over-year. As expected, upgrade activity also declined in the quarter coming in at 9% of total subscribers, compared to 13% in the second quarter of 2011 and 16% in the first quarter of 2012. As you can see in our supplemental slide deck, upgrade cost this quarter accounted for $3.06 of CPU versus $3.73 in the second quarter of 2011, and $7.13 in the first quarter of 2012. With lower gross additions, combined with continued investments in our network, we managed churn to 3.4% for the second quarter. During the quarter, approximately 50% of what we sold was a smartphone. And at the end of the quarter, 47% of all subscribers were on a smartphone plan. At the end of the second quarter, 42% of subscribers were on family plans. During the quarter, we ran a $25 unlimited talk and text plan. We believe this plan addresses the needs of a specific demographic of customers and have been pleased with the uptake on this promotion. From a network utilization standpoint, the talk and text plan uses up significantly less capacity on our network than a typical data-intensive smartphone customer. Moving into the third quarter, we are continuing the $25 talk and text promotion. The evolution of 4G LTE. We anticipate that as more affordable 4G LTE smartphones become available to our customers, our 4G LTE network will be ready to handle their data requirements. At the end of the second quarter, we are nearing completion, having built approximately 90% of our total footprint with 4G LTE, up from 80% at the end of the first quarter. We continue to expect additional 4G LTE smartphones to become available throughout the remainder of the year. We are working closely with various OEMs and plan to introduce 4G LTE smartphones in the $99 to $149 price range in late August. We believe that in addition to the various 4G LTE smartphones at the $149 level, we will launch additional smartphones at various price points during the remainder of the year. Importantly, we will also introduce VoLTE-capable smartphones as well as a DTV smartphone later this year. When we approach the fourth quarter of this year, we plan to have 4G LTE For All in full swing. With a lightning-fast 4G LTE network, we believe it will be an exciting holiday season, with existing 3G Android customers having the ability to upgrade to a 4G LTE service, and we hope to expand our subscriber base by being the only facilities-based no-contract provider selling 4G LTE service in the United States. The combination of a 4G LTE network, full feature yet low-cost devices and service plans that offer unparalleled value, will be the drivers of our 4G LTE For All promotion that will be kicked off later in the third quarter. Now I'll turn the call over to Braxton.
J. Braxton Carter: Thanks, Tom. Good morning. Our second quarter results demonstrate the ability of our business to generate significant cash. With lower promotional activity during the second quarter, we generated both the highest adjusted EBITDA in company history and also the highest consolidated adjusted EBITDA margins in company history at 41%. We ended the quarter with approximately 9.3 million total subscribers, an increase of 2% from the second quarter 2011, and up 49% over the past 3 years. Churn for the quarter was 3.4%, down 50 basis points when compared to the second quarter of 2011. This decline in churn was primarily driven by continued investments in our network and lower year-to-date subscriber growth. Our balance sheet continues to be strong and we have substantial liquidity, with approximately $2.3 billion in cash and short-term investments at the end of the second quarter. We believe this liquidity positions us very well for future strategic opportunities including spectrum acquisitions. We continue to evaluate various options to enhance our current spectrum holdings. We believe further investment in spectrum will significantly reduce future CapEx, will have a positive impact on free cash flows and further leverage our 4G LTE investment. Our total leverage as of June 30, 2012, was approximately 3.3x, computed in accordance with the indentures governing our senior notes. We believe our maturity schedule is very manageable with our first substantial maturity of approximately $1 billion coming due in 2016. Our weighted average cost of debt for the second quarter was 5.8%. The majority of our debt is fixed by its nature or through interest rate swaps. We believe we are very well positioned from a balance sheet perspective. Our second quarter 2012 ARPU was $40.62, up $0.13 on a year-over-year basis, and up $0.06 from the first quarter of 2012. The year-over-year increase in ARPU was primarily attributable to the continued demand for our Wireless For All and 4G LTE service plans, offset by promotional service plans and an increase in family plan penetration from 38% of our customer base as of June 30, 2011, to 42% of our customer base as of June 30, 2012. For the second quarter, our CPGA was $191, up $13 over the second quarter of 2011. This increase is primarily driven by lower gross additions, partially offset by decreased promotional activities, as compared to the 3 months ended June 30, 2011. On a sequential basis, CPGA declined $45, primarily due to less promotional handset activity. With the introduction of 4G LTE For All in late third quarter and during the fourth quarter, we do not expect the traditional decrease in fourth quarter CPGA from second and third quarter levels. Our CPU for the quarter was $18.40 as compared to $18.94 in the prior-year second quarter. This year-over-year decrease was primarily driven by a decrease in retention expense for existing customers, as well as a decrease in long-distance cost and taxes and regulatory fees. These items were partially offset by an increase in costs associated with our 4G LTE network upgrade and roaming expenses associated with Metro USA. During the quarter, we experienced $3.06 in CPU directly related to handset upgrades, compared to $3.73 in the prior-year second quarter, and compared to $7.13 from the first quarter of 2012. Adjusted EBITDA for the second quarter was $477 million, an increase of 33% year-over-year. Our adjusted EBITDA margin for the quarter was 41.1%. Over the first half of 2012, we have generated over $739 million in adjusted EBITDA compared to $643 million in the first half of 2011, representing an increase of 15%. With the launch of 4G LTE For All late in the third quarter, we expect adjusted EBITDA to decrease sequentially as a result of lower subscribers, promotional activities, higher upgrades which will pressure CPU and higher CPGA. I'd now like to highlight a fewer -- a few items from the income statement and cash flow statement. In the second quarter, our service revenue and cost of service grew 4% and 1%, respectively, to approximately $1.2 billion and $368 million, respectively, over the same quarter in 2011. The increases are primarily due to the growth of our subscriber base over the second quarter of 2011. We generated $320 million in cash from operating activities in the second quarter. We generated $149 million in consolidated net income during the second quarter or $0.41 per share. We incurred capital expenditures of $182 million during the second quarter. Over the first 6 months of 2012, we have spent a total of $326 million in capital expenditures. We reaffirm our full-year 2012 guidance for capital expenditures of $900 million to $1 billion. Now we'll move to Q&A. Operator?
Operator: [Operator Instructions] And we'll take our first question from Brett Feldman with Deutsche Bank.
Brett Feldman - Deutsche Bank AG, Research Division: Quick question. As we think about the broader launch of LTE product later this year, I just want to get a little bit color what you think is sort of the key ingredients of making that a successful value proposition? Because if we go back to sort of your legacy products of voice and text, it was pretty simple. It was -- unlimited voice and text had a ridiculously low price compared to all the other options. It's a little more nuanced here when we get into broadband. So what are going to be the key things other than just inexpensive phones that you expect to bring customers back into the stores?
Roger D. Linquist: Let me take that one, Brett. I think the world of data-centric phones and service has brought about the need for substantial download and upload speeds. Those speeds we achieved only in part with our combined 1x and DO network. The key for us is the service that is expected and the handsets that are capable of delivering that, we think will be met with our third quarter beginning -- or late third quarter, as I should say, beginning introduction which we feel will be impacting fourth quarter. So we see parity in terms of handsets. We'll be, I think, and certainly, in the hunt on download speeds well beyond those which we would think necessary for the main services our customers want, which are highly focused towards YouTube and Pandora and applications as such. So we think we have a very substantial service. It's much superior to most 3G services, excluding those that concatenate the frequencies to get -- as HSPA+ does. And download speeds, once minimum is reached, I think the service satisfaction goes up exponentially. So we hope to have the -- with the handsets being affordable and in the general region of what you can buy the 3G phone sets for, that's one element. The other element is we will be building and introducing later this year the, what I mentioned is the RCS platform or our move to IMS, which I think will bring about a very substantial change, which is really, I guess in a phrase, an ability for our customers to share life experiences. They can call and simultaneously send videos or still images, or determine presence on their phonebook or for that matter, enhanced messaging service. So we think we will have the full set of services that have not been present for the no-contract segment.
Brett Feldman - Deutsche Bank AG, Research Division: And then how do we think about competitive positioning versus some of the sort of so-called 4G prepaid offers already out there? You got a WiMAX offer at Sprint. You got a HSPA+ offer at T-Mobile. Do you think that the LTE moniker resonates well enough with consumers that even if the price points are not materially different, your products will still stand out in the crowd?
Roger D. Linquist: Well, yes, I think it does. I guess the answer is that, the WiMAX system, as we all know, is being phased out and so that product's at the end of its life. Those handsets are not inexpensive, so I think there is at a pretty significant disadvantage. HSPA+, those services depending upon who you're talking about, branded prepaid versus the standard MVNOs, may or may not be available. But that's coming into its life's end, too, and it doesn't have a future as Long Term Evolution. So we see our handsets being -- giving our customers a chance to future-proof their purchases. And we don't see the other technologies that are really built on 3G, expanding their lifes a la HSPA+, really being that competitive. And the hope is that we could market that and create that very clear message.
Brett Feldman - Deutsche Bank AG, Research Division: Just a quick housekeeping one for Braxton. Can you remind us where we are with NOLs and the outlook for cash taxes? I think the last time you gave guidance, you said you would not pay cash taxes until I think after 2014. Is that still the guidance?
J. Braxton Carter: All right. Yes, Brett. That would still be the guidance.
Operator: And we'll take our next question from Rick Prentiss with Raymond James.
Richard H. Prentiss - Raymond James & Associates, Inc., Research Division: When we're talking about the LTE For All, Tom, you mentioned you're hoping that would help stimulate subscriber growth as you look into fourth quarter and then into '13. What about on the ARPU side? I mean what does LTE For All mean to you guys, do you think, on ARPU?
Thomas C. Keys: Was that an ARPU question, Rick? you broke up a little bit. I'm sorry.
Richard H. Prentiss - Raymond James & Associates, Inc., Research Division: Yes. And so it's a question on -- so if LTE For All can help on the share of adds and get positive adds. What's the thought on what 4G LTE means on ARPU?
Thomas C. Keys: Yes, I think the first thing would be from an upgrade perspective, we will see some degree of upgrades greater in the fourth quarter than we have in the second and third. And that should be accretive as we'll have higher rate plans as people move from feature phones and/or 1x deal plans, if you will, into our LTE plan. So we think that will be accretive. So the fourth quarter starts a movement, where we'd like to see everybody migrate to our 4G LTE platform. The good news is that in the last 5 months of the year, we'll be introducing what looks like between 6 and 7 LTE handsets, which would give our consumers much greater choice. And as we mentioned, we'll have some of those handsets between the $99 and $149 range, as we introduce the LTE For All program. So I think in the long run, that will help ARPU, but there's always going to be some pressure from family plans. And if we look to continue the $25 promotion, that's probably an offsetting factor.
Richard H. Prentiss - Raymond James & Associates, Inc., Research Division: Okay. And then when you think about CapEx maintaining the guidance this year of $900 million to $1 billion, it's been somewhat of a -- as we've seen across the industry, kind of slow start to the year. Do you think the second half really does ramp up like that? And as you think early on to 2013, would capital intensity come down once you got this network built? Or there'll be a need for more capacity?
J. Braxton Carter: Yes, Rick, I'll take that one. Yes, we absolutely reaffirmed our guidance on CapEx this year. We do fully plan on spending up to that guidance. So first half is just really a timing issue. You've got to remember that -- Roger made a statement that almost all of our major metropolitan markets were going to have 5x5 for LTE. So there's a lot of efforts being put into densification to free up additional spectrum to really provide that type of bandwidth. And you've also heard us talk in previous calls about our microwave backhaul initiative, which was really key and very efficient from a cost standpoint. Really looking forward -- as we've talked about in the past, it's dependent on do we really get additional spectrum and the level of subscriber growth. We do plan on returning to our legacy of subscriber growth with really what customers are looking for, which is more high-speed broadband services, of which 4G LTE is very well positioned in the prepaid space. But with the lack of spectrum, we will need to continue working on the capacity of our network, and we don't see a catalyst for any significant decreases in CapEx. Conversely, if we are able to obtain additional spectrum, per our previous commentary, we do expect to see significant savings in CapEx and enhancement of free cash flow.
Operator: And we'll take our next question from Jonathan Chaplin with Crédit Suisse.
Jonathan Chaplin - Crédit Suisse AG, Research Division: I wondering if you could -- we could walk through some of the options on the spectrum front a little bit? So firstly coming out of Verizon, it looks like there's going to be some A Block spectrum. I'm wondering how you guys look at that given some of the interference issues? And then aside from that, it seems like the only other sort of fallow spectrum out there at the moment is Clearwire spectrum. Leap signed an agreement with Clearwire. I'm wondering if you could give us some color on what your thoughts are around 2.5 gigahertz spectrum, and how you see that would be -- how easy it would be to wrap TD LTE spectrum into your existing network build? And then are there any other sort of opportunities on the spectrum front out there that we're not thinking about?
Roger D. Linquist: Okay. Well that was a pretty comprehensive question. Let me try the A Block and 700. I think there's substantial difficulties yet with the 700 block. I think in due course, they will go away. I think it remains a more distant option for us. Clearly, the spectrum is valuable if interference from broadcasters could be eliminated in a predictable way. At this point, the FCC has left it up to arm's-length agreements and everybody seems to have short arms. So going on to the Clearwire, there is definite spectrum there and as you know, the 2.5 gigahertz is slightly less effective in terms of range. In fact, it's considerably short on range, still would be very useful for companies like ourselves, which operate principally in the larger markets where we have more dense conditions. The real other side of the issue of course is the time division, which is probably the only practical way of using the spectrum. And TD LTE is still in its experimental phases, and so there's time to market questions there. But as far as spectrum, all spectrum can be used and we like all spectrum. The problem is at what point in time can it be commercialized. So as far as other spectrum goes, the Verizon transaction on AWS that was announced several weeks ago, made it pretty clear about that. There always are some trading opportunities. Certainly, we'll look forward to that to the extent they exist. But as you mentioned, the Leap offer that leases spectrum from Clearwire, that is -- I think that option is sitting out there is not the desired option from our standpoint because at the end of the day, I think it's a high-cost option. But nevertheless, it may be an option. What our focus is on, is what I indicated that we're densifying our networks. We're getting to what we think is an important and critical part of getting the full 10MHz bandwidth be applicable for LTE and use that as a platform for our refarming effort. We think it can be made very efficient. We will be improving the network, making sure that we have -- in some places we'll have quad poles, which gives us a very strong forward and substantial uplink. We'll be converting to MIMO, where we think that makes sense in many of our locations. And probably most importantly, that we have acquired microwave backhaul spectrum in all of our markets, and we have a major program which is now factored in our 2012 even though we'll go into 2013 first half, the CapEx for significant capacity on backhaul. And that has both the cost implication, cost reduction implication, operating cost that is, as well as capacity implication because you can't get more out of the forward link than you can truck away on the backhaul side. So we think all of those initiatives gives us a very strong opportunity to grow our business, and the game of hunting spectrum is as you know, a very difficult one. So we'll be very opportunistic.
Operator: We'll take our next question from Phil Cusick with JPMorgan.
Philip Cusick - JP Morgan Chase & Co, Research Division: Can you just start by helping me out on cost of service? It was down sequentially, what's the driver there? And how should we think about it going forward? It sounds like that could get even better as you sort of shift over to 4G?
Roger D. Linquist: Yes, I'll take the first crack. I think that the cost of service -- and here's, Phil, where it comes a little bit difficult, the -- we still have a pretty substantial voice business. But right now it's very clear, data is dominating. And we think that the cost, once we have microwave backhaul fully employed in 2013, can have a significant moderation to what we experience today. The question I guess that's raised is when that, shall we say, tipping point where we're actually reducing our CDMA base significantly so that we can get back and really use that spectrum for LTE. That will have an important implication, because the more spectrum we put under LTE, and the more efficient our operating performance becomes.
J. Braxton Carter: When you really look at the cost of service, it was up slightly year-over-year. And you would expect more given the investment of 4G LTE. And Tom commented that we went from 80% of our footprint to 90% of our footprint. Obviously we're adding more backhaul in interconnect getting ready for 4G LTE For All. If you look at the commentary that we have in our MD&A, there are continued costs related to the network. And we're excited that we have approximately 8% of our customers on the LTE network, but we're still nowhere near to scale on the investment that's there. So we do see a lot of opportunity. I think what's surprising me a little bit is even as cost efficient as we are, we are constantly striving to do things better and to provide more efficiencies in our operations. During the quarter, we in place [ph] -- first quarter, we implemented some innovative solutions in our long distance area, both from an international standpoint and domestic standpoint, that drove some costs out of providing long-distance services in the business. We're very, very focused on taxes and regulatory fees because remember, when we went tax and regulatory fee inclusive with Wireless For All, those items had a significant impact on us, and through a lot of hard work we were able to provide some efficiencies in that area. So that offsets some of the traditional pressure you would have expected as we increase our footprint on 4G LTE. So that's the way that I'd like at it. And of course, we continue to look at cost control and other ways to drive efficiencies in the business.
Roger D. Linquist: One other thing I'd point -- go ahead, Phil.
Philip Cusick - JP Morgan Chase & Co, Research Division: I was just going to say those things, Braxton, should be sustainable, right? So there's no reason that those are onetime changes. Those are going forward should be regular, right? Long-distance regulatory fees, taxes?
J. Braxton Carter: That's correct.
Roger D. Linquist: Well, one thing I would raise, Phil, is that it's not immediately obvious, is that what we put in place in LTE isn't effectively not a 5x5 but a 10x10 capability in the equipment that we installed. So were we to get additional spectrum, whether it comes from refarming our CDMA, or in certain cases are able to acquire other spectrum. Even on TD LTE, we have -- our base stations now are multimode. So we are capable of, within the present cabinet, to go to a more modular upgrade. So if the spectrum is available, that we can put it to work commercially as soon, certainly as the ecosystem develops.
Philip Cusick - JP Morgan Chase & Co, Research Division: If I could bring in one more. Given the low -- or low gross adds in the first quarter and second quarter as well, typically, we'd see churn pick up in the third quarter. I know you have a decent level of visibility out the next 60 days or so. Can you give us an idea as to whether we might see churn actually down sequentially in the third quarter?
J. Braxton Carter: I really don't see that, Phil. You go back and you look at the historical phasing of churn, you always see a churn pickup in the third quarter. I mean, we're in the dog days of summer right now. And even though it will definitely be significantly less than a year ago, as we've been trending year-to-date, you will see an uptick in churn in the third quarter.
Operator: And we'll take our next question from Tim Horan with Oppenheimer.
Timothy K. Horan - Oppenheimer & Co. Inc., Research Division: Obviously, you have a choice here if you don't have a lot of spectrum out there and CapEx is fairly high. Is there any way maybe to, over time, creep up prices for LTE, given it should be an incredible offer or fees? Or maybe even on the handset subsidy side, do you think you could kind of see them trend down a little bit?
Roger D. Linquist: Yes. Well, I think the opportunity for ARPU in LTE should be a good bit stronger. And as you knew now, we have a plan that runs the gamut from $40 to $70 a month for unlimited, of course, that's taxes and fees included. And I think this is going to be an evolution in the industry. So as you've seen, the Verizon plan quickly followed by AT&T on the sharing. I think that our focus continues to be not on the cross-platform business, which iPad, notebooks, iPhones, et cetera, but more singularly on the smartphone itself. And to date, we don't have any -- we don't see a great deal of opportunity in the M-to-M [ph] business for us. That could change and we are exploring that. But -- so my point, I guess, is that I would expect that we could stabilize and get some lift in ARPU as we move towards, more towards an LTE service company. But that will take the better part, I think, of 2013 to really see that emerge.
Timothy K. Horan - Oppenheimer & Co. Inc., Research Division: And then lastly, I'm very appreciative on your comments on to T-mobile and Sprint. But do you expect them to be aggressive here, the next 6 to 9 months with their really higher speed prepaid data offering? And how do you get the message out there that LTE is really the long-term solution? And I mean, are customers really going to understand the difference? And do you expect those companies to be aggressive?
Roger D. Linquist: Well, I guess we do. The important point is that as you know, Sprint is still building out their Network Vision. That very -- I would say our network vision is already 90% in place, number one. And so -- and certainly that over time, that will occur. I think that the -- what we see anyway from a distance is that the MVNO business -- or the wholesale business seems to be more attractive to both Sprint and to T-Mobile, which are the, shall we say, the most aggressive in the space. And quite frankly, it's, I think, going to be a little bit of time before they're very premium services. And I wouldn't rule out this notion of RCS because we are investing in that, we do have it in our capital plan. And it is an IMS platform, we believe, that will provide services that will significantly enhance over and above just speed. So we feel pretty good about our product and the fact that -- will these carriers who have managed their postpaid business, are they really willing to aggressively price their most premium product?
Operator: And we'll take our next question from Simon Flannery with Morgan Stanley.
Simon Flannery - Morgan Stanley, Research Division: I wonder if you could just talk about LTE roaming? Have you been able to have any discussions there? Any expectations that you'd be able to get some progress on that, either you hosting other companies or vice versa? And we've talked about the LTE advantage. Once the network is loaded as you get substantial subscribers on in 2013, what sort of speeds do you think you'll be able to offer to customers?
Roger D. Linquist: Okay. Well -- let me take the last piece first. As you know, that the -- in a 5x5 configuration, until we get to release 11 that we're probably -- with the backhaul not being a chokepoint, we're probably in the 8 to 12 megahertz on the downlink and we're probably in the, I would say, 6 to 10 or 6 to 9 megahertz in the uplink -- excuse me, megabits in the uplink. So we have, I think, an adequate service. If we can add additional spectrum, of course, that can grow dramatically. On test trials here in Dallas, where we have 20 megahertz where we've tested on, or a 10x10, we've had speeds that are not average. Because I've quoted average speeds, but we've achieved speeds up to 80 megahertz -- megabits. So that there is tremendous speed possibilities available with the proper antenna configuration, and I think the growth here is going to be very important over time. So average speeds would be roughly 2x of that, a bit higher than 2x. So I think the capacity will be here. What we're very focused on is getting our network teed up so that we can go to our refarming without the need of having to have additional spectrum, which I think with the possible exception of 1 or 2 markets, we will achieve by first quarter of next year. LTE roaming, I think part of that is we do have under discussion now with parties in LTE roaming agreements. As you've -- as was noted in the prior discussion, Clearwire is interested in transactions because as they move to an LTE system, assuming that they can accomplish that. So I think we will have LTE partners in the future. But we've built our business on being much more of a regional, local company and we see that as really the strength that we have and continue to have today.
Operator: And we'll take our next question from Matthew Niknam with Goldman Sachs.
Matthew Niknam - Goldman Sachs Group Inc., Research Division: We saw family plan penetration of your base tick down from 1Q. I'm just wondering if you can give us more color on what drove this? And then secondly, looks like there's now a family plan promo offering a $10 discount for additional line. Can you talk about the expected impacts on ARPU from this in the continuation of the $25 plan in the third quarter?
Roger D. Linquist: Tom, you want to take that?
Thomas C. Keys: Matthew, this is Tom. 42% is where we ended the quarter. We haven't seen any real strong uptick in family plans. Number one, the $25 promotion is not family plan eligible. So we think that stands alone and just trying to serve the need to those who just want voice and text services. We did offer a, what we call, at a small promotion, giving customers an additional $5 off if they signed up for a family plan, and we like the retentive value of a family plan over time. Do I think it will have a large impact on ARPU? No. Do I think it will be able to bring some additional family members in that otherwise might not have considered us? Quite possibly. So we think it's a small element of what we're doing in the second and into the third quarter, but nothing more than that in terms of large volumes and how it affects ARPU.
J. Braxton Carter: Matt, I think it's fair to say that I would not look for any accretion in ARPU during the third quarter. With the $25 promotion out there as well as the family plan, I mean, we're certainly adding LTE subscribers, adding smartphone subscribers on our higher end rate plans. But given those 2 items out there, don't look for ARPU to go up.
Operator: And we'll take our next question from Michael McCormack with Nomura Securities.
Michael McCormack - Nomura Securities Co. Ltd., Research Division: I know you mentioned a second ago just sort of the competitive landscape out there. Maybe just a fraction of your thought on the sort of very low churn numbers we're seeing from some of the other carriers, whether or not you view that as a positive or negative for Metro? And then just maybe a quick thought on the planned changes at AT&T and Verizon, where obviously now, you've got voice and text all included at a low rate. And was there a threat in your view that they come in with a lower end data plan that might be more attractive to some of your subs?
J. Braxton Carter: Sure. And I'll let Tom take the second half of that question. But really, to talk about the first half, yes, it's really been an interesting second quarter when you look at what the carrier results have been so far. Really, record profitability, lower upgrades and more rationalization when it comes to how people are approaching the market. And I do think all of that's positive. What we have done this year is really stop chasing growth with our 1xRTT offering. And really are positioning to ramp our growth back up with a really high-speed 4G LTE offering, which quite frankly is what our customers want today. So yes, I look at these dynamics as being positive, positive for our industry and positive for MetroPCS. You saw the impact of being less aggressive both on our profitability, our upgrades and other key drivers. And when we get to 4G LTE where you have a service that customers really expect and demand today, I think they're going to be much happier customers going forward. So we're excited about the imminent, end-of-third-quarter launch of this initiative.
Thomas C. Keys: Yes, to the second point regarding anything from AT&T or Verizon. One, I think it implies that there is growth in the no-contract segment supported by what they're looking to do. So number two, Roger spoke about the prospect of offering a premium service and possibly seeing some of their plans being cannibalized, that's something they'll have to look at and see if that's the right way to proceed on their side. But what we look at from our customer set is, they've always been attracted just by handset value, by service and then support. I think the support we now bring with an LTE network, we've yet to be able to really bring them the price for LTE handsets that we will at the beginning of the fourth quarter, end of the third. So we think that those 2 things are somewhat bifurcated. Yes, there's going to be more competition in the prepaid segment because that's where some of the growth is going to occur as the economy stays where it is and potential customers look not to have any commitment for 24 months. So we think for the first time ever, we're going to be able to market our products and services in the no-contract segment with premium devices at a value price, with service plans that will be unmatched. And at the same time be able to get our messaging locally and in media all wrapped around one consistent theme, that the network is full 4G LTE and the services that are provided are no-contract, taxes and fees inclusive. So we think we have some separation between the 2, and it might also help the segment grow as more people look into the prepaid side of the house as opposed to possibly contracts.
Operator: And we'll take our question from James Ratcliffe with Barclays.
James M. Ratcliffe - Barclays Capital, Research Division: Two, if I could. First of all, can you talk about the impact that the tightened Lifeline assistance standards are likely to have, with either positive or negative? And also looks like handset upgrade spend per handset upgrade, with the addition of the absolute numbers came back down to more typical levels in 2Q versus a spike in 1Q. Should we expect to see a kind of this level of subsidy for the rest of the year? Would it move back up with more smartphones later in the year?
J. Braxton Carter: Let me take the second part. Yes, both in our earnings release and in our commentary in the script, James, we do expect that with the 4G LTE For All initiative that -- especially in the first wave of it as it starts in the third quarter, going into the fourth quarter that we will see an increase in upgrades. I mean consumers want the higher speed, more seamless 4G LTE experience and we do expect to see an uptick. So I think Q2 is really a more of a function of what's happening overall in the industry as well as us really backing off aggressive handset promotions. And your first question, could you repeat that relating to Wi-Fi?
James M. Ratcliffe - Barclays Capital, Research Division: Is the impact of tightened Lifeline assistance standards for -- I mean at the Lifeline assistance program, if you could see that as helping or hurting the business?
Roger D. Linquist: From our standpoint, we have used the central core of that question is Wi-Fi...
James M. Ratcliffe - Barclays Capital, Research Division: No. I said Lifeline assistance, subsidized handset for...
Roger D. Linquist: Oh, Lifeline.
James M. Ratcliffe - Barclays Capital, Research Division: Yes, sorry.
Roger D. Linquist: I didn't get that. Well the Lifeline assistance, as far as we're concerned, we've always supported, we continue to support. The question is that if it did, the tightening up really affects all the other carriers, quite frankly we've never entered that segment. And we don't, at this point, have any designs on.
James M. Ratcliffe - Barclays Capital, Research Division: And just a clarification on the other question. In addition to more larger volume of handset upgrades, would you also expect the, sort of, cost per upgrade to rise as we move in the back half of the year?
J. Braxton Carter: Yes, we would. Specifically, we talked about -- you typically see a decrease in CPGA in the fourth quarter from second and third quarter levels. Our commentary was, don't expect that with our 4G LTE initiative. So by definition, that would also apply to upgrades in CPGA.
Operator: And that concludes today's question-and-answer session. Mr. Carter, I'll turn the conference back over to you for any additional or closing remarks.
J. Braxton Carter: Well, thank you again for participating on today's call. We appreciate your interest and support of MetroPCS, and we look forward to our next quarter of continued progress. Operator?
Operator: Ladies and gentlemen, that concludes the MetroPCS Communications' second quarter 2012 conference call. Thank you for your participation. You may now disconnect, and have a pleasant day.